Operator: [FOREIGN LANGUAGE] Good morning. My name is Simon and I will be your conference operator today. At this time, I would like to welcome everyone to the Cascades fourth quarter 2020 financial results conference call. All lines are currently in listen-only mode. After the speakers' remarks, there will be a question-and-answer session. I will now pass the call to Jennifer Aitken, Director of Investor Relations for Cascades. Ms. Aitken, you may begin your conference.
Jennifer Aitken: Thank you operator. Good morning everyone and thank you for joining our fourth quarter 2020 conference call. We will begin with an overview of our operational and financial results, followed by some concluding remarks, after which we will begin the question period. The speakers on today's call will be Mario Plourde, President and CEO and Allan Hogg, CFO. Also joining us on the call are the presidents of Cascades' business segments, namely Charles Malo, President and COO of the Containerboard Packaging Group, Luc Langevin, President and COO of the Specialty Products Group and Jean-David Tardif, President and COO of the Tissue Papers Group. They will all be available for the question-and-answer period at the end of the call. Before I turn the call over to my colleagues, I would like to highlight that Reno de Medici's interim report released on February 16 can be viewed on Reno's website. I would also note that certain statements made during this call will discuss historical and forward-looking matters. The accuracy of these statements is subject to risk factors that can have a material impact on actual results. These risks are listed in our public filings. These statements, the investor presentation and the press release also include data that are not measures of performance under IFRS. Please refer to our Q4 2020 Investor Presentation for details. This presentation, along with our fourth quarter press release, can be found in the Investors section of our website. If you have any questions, please feel free to call us after the session. I will now turn the call over to our CEO. Mario?
Mario Plourde: Thank you Jennifer and good morning everyone. I would like to begin our call this morning by acknowledging our appreciation for the dedication and resilience of our employees throughout the past year, by thanking our customer, supplier and communities in which we operate for their continued strong partnership and by thanking our shareholders for their ongoing trust. We are very pleased with our strong fourth quarter consolidated performance. It exceeded expectation for that period, given our cautious outlook due to the ongoing COVID-19 pandemic. Our operations delivered solid results in the last three months of the year and drove our third consecutive year of record annual adjusted EBITDA level in 2020. Broadly speaking, the results demonstrate good execution of our facility and benefit from our margin improvement initiatives begun in the first quarter of the year. Annually, this program generated approximately $75 million of adjusted EBITDA improvement in 2020. Allan will give you more details in a few minutes. Subsequently, fourth quarter results were driven by containerboard which benefited from strong demand in both the manufacturing and the converting side. The tissue segment also generated strong quarter-over-quarter results providing an improvement to adjusted EBITDA margin of 10.5% within the context of continued away-from-home product demand pressure due to the pandemic. Adjusted EBITDA of $166 million was 2% above Q3 and 9% above the same period last year. On a consolidated basis, our adjusted EBITDA margin was 12.9% in Q4. Slide four and five provides details for each of our business segments. On the raw material side, highlighted on slide six, the Q4 average index price for OCC more than doubled year-over-year and increased 12% compared to Q2. This is largely a reflection of higher domestic demand levels for this fiber as containerboard production levels have responded to pandemic buying pattern, combined with strong export activity to south Asian country. Average prices for white recycled paper grades decreased 16% year-over-year in Q4 and we are down 26% from Q3 levels. On the virgin pulp side, hardwood and softwood pulp prices were essentially stable, both year-over-year and sequentially in Q4. Moving on to some brief comment on the performance of each of our business segment highlighted on page eight through 11 of the presentation. They containerboard segment generated a slight 1% decrease in sales sequentially. Shipments decreased 3% from Q3, reflecting usual seasonality of sales mix with jumbo shipment decrease 6%, reflecting a 1% decrease in capacity utilization rate and a 2%% increase in integration rate. On the converting side, shipment increased by 1% sequentially in millions of square feet, in line with the Canadian market but below the 4% increase registered in the U. S. market for the period. These were offset by a 2% increase in the average selling price. Q4 adjusted EBITDA of $110 million or 22% on a margin basis increased 10% from Q3 levels. This was driven by lower raw material and operational costs and a more favorable sales mix and early benefit from the November 1 price increase. These were partially offset by lower volume and higher labor and freight costs. As a reminder, Q3 results also included an approximate $3 million impact related to operational stop at our Niagara Falls complex due to maintenance and a disruption from the mill offsite steam supplier. Manufacturing downtime related to planned maintenance and capital investment of 9,200 short ton were taken in Q4, below the 11,400 short ton taken in the third quarter. Our issue business fourth quarter sales decreased 5% sequentially. This was largely driven by higher volume late to year-end fulfillment of contract through annual volume with shipment level up 5% from Q3. Higher average selling price and a more favorable mix of products sold were also positive contributor while the 2% appreciation of the Canadian dollar was a net negative to sale levels. Adjusted Q4 EBITDA increased $4 million sequentially, reflecting lower raw material costs and a higher average selling price and volume. These were partially offset by a more elevated production cost and transportation and energy costs. We are pleased with the improvement in tissue which despite continued demand impact related to COVID-19 generated an impressive 510 basis point margin improvement this year when compared to 2019. European boxboard operation had a good quarter. Q4 sales decreased 3% sequentially reflecting the usual holiday season in shipment. Adjusted EBITDA decreased $2 million from Q3 levels reflecting a lower average selling price and volume, the effect of which was partially offset by lower production costs. Specialty products segment generated solid Q4 results sequentially and year-over-year. When compared to the prior quarter, Q4 sales increased by $6 million, driven by stronger volume in moulded pulp, fiber-based packaging and more favorable pricing and sales mix. These were partially offset by lower sales in the plastic packaging and less favorable exchange rate. Adjusted EBITDA levels decreased by $1 million sequentially. I will now pass the call to Allan who will discuss the main highlights of our financial performance. Allan?
Allan Hogg: Thank you Mario and good morning. So I will begin with an overview of our KPIs on slide 13. So our fourth quarter shipments decreased by 9,000 short tons or 1% from Q3, driven by a decrease of 3% in containerboard and a slight 1% decrease in Europe. These were partially offset by a 5% increase in tissue shipments in the period. The third quarter capacity utilization rate of 92% increased 2% compared to the prior year and 1% from the third quarter levels. Average working capital came in a 9.6% of sales, down from 9.8% in Q3 while constituted return on assets stood at 13.1%, up from 12.8% in Q3. Moving now to sales as detailed on slide 14 and 15. Year-over-year Q4 sales increased by $57 million or 5%, driven largely by volume increases in containerboard and specialty products segment, favorable pricing and mix in tissue and a beneficial foreign exchange rate for the European boxboard segment. These were offset by lower volumes in tissue, less favorable pricing and sales mix in boxboard Europe and negative foreign exchange rates for both containerboard and tissue. On a sequential basis, fourth quarter sales increased by $9 million or 1%, largely reflecting better pricing and sales mix in all North American operations and higher volumes in tissue and specialty products, partially offset by less favorable foreign exchange for all North American segments. Moving now to operating income and adjusted EBITDA, as highlighted on slide 16. Q4 adjusted EBITDA of $166 million increased $14 million from the prior year level. All business segments generated stronger year-over-year results with the exception of corporate activity. Sequentially, Q4 adjusted EBITDA increased by $4 million or 2%, as shown on slide 17. This was driven by stronger performances in containerboard and tissue, partially offset by slightly weaker contribution from corporate activity. Adjusted EBITDA for the year reached $675 million, an increase of $71 million or 12% from 2019 levels. This improvement reflects the good performance of European boxboard, specialty products and in particular our tissue segment, the combination of which offset the decline in containerboard. Our adjusted EBITDA margin came in at 13.1% in 2020 compared to 12.1% in 2019. Moving now to slide 19 of the presentation. In the first quarter of 2020, we initiated an important profit margin improvement program for our North American operations, focused on improving competitiveness, efficiency and productivity thereby limiting the potential negative effects related to economic downturns or adverse market conditions. A similar program was already underway in the European operations. The program is built on five strategic pillars, net revenue management, production efficiency, optimization of sales and operations planning, supply chain efficiency and organizational effectiveness. The objective of this program is to improve our adjusted EBITDA margin by 1% annually in 2020, 2021 and 2022, with these improvements calculated from the levels of 2019, our baseline year. Although the pandemic delayed the implementation of some initiatives, we were able to exceed our target for 2020 by achieving approximately $75 million of adjusted EBITDA, net of related costs to implement these initiatives. These benefits offset some negative impacts related to COVID-19, increased raw material costs and reduced selling prices for certain products. Slide 20 and 21 illustrate the specific items recorded during the quarter. The main items worth mentioning are a $40 million gain from the sale of a building and land of a closed containerboard facility in Ontario, $13 million of impairment charges following the revaluation of certain assets in tissue and boxboard in light of current market conditions and $8 million restructuring charges associated with profitability and restructuring initiatives. Slide 22 and 23 illustrate a year-over-year and sequential volumes of our Q4 adjusted earnings per share and a reconciliation with specific items that affected our quarterly results. As reported, earnings per share were $0.72 in the fourth quarter. This compares to a net loss per share of $0.27 last year. Both periods included specific items. On an adjusted basis, EPS increased by $0.12 compared to last year results. High opening results and lower depreciation expense were offset by higher financing expenses. On an adjusted basis, sequential fourth quarter earnings per share decreased by $0.8 per share from Q3 levels due to positive impact of tax assets reassessment of prior year's losses recorded in Q3. I have highlighted on slide 24 fourth quarter adjusted cash flow from operations increased $45 million year-over-year to $152 million. This reflected higher operating results, lower income tax and net financing expenses paid. Adjusted free cash flow levels increased by a strong $69 million year-over-year. Moving now to our net debt reconciliation, as detailed on slide 25 and 26. Our net debt decreased by $303 million in the quarter. This reflects strong cash flow from operations, $120 million of net proceeds from the equity offering completed on October 22, a positive foreign exchange impact of $71 million and a favorable $60 positive variance in working capital, partially offset by dividends and CapEx payments. For the full year, net debt went down by $284 million or 14%. Capital investments to purchase the CDPG equity in Greenpac and our dividends payments were more than offset by strong cash flows from operations and the issuance of common shares. We reached our stated leverage ratio target which stood at 2.5 times at the end of 2020, down from three times at the end of Q3 and 3.25 times at the end of last year. This, along with other financial ratios and information about maturities, are detailed by 27. On slide 28, we provide details about our capital investment plans for the full year. We expect to invest approximately between $450 million to $475 millions in 2021 which includes $250 million of investments associated with our Bear Island conversion project. We will continue to prudently manage our cash flow and our debt profile with the objective of keeping our leverage ratio within a range of 2.5 to 3 times while we execute our Bear Island project. At year-end 2020, we had cash and revolver availability of approximately $1 billion. Mario will wrap up the call with a brief conclusion before we begin the question period. Mario?
Mario Plourde: Thank you Allan. We provide details regarding our near term outlook on slide 30 of the presentation. As a reminder, this outlook is based on what we are seeing today and make change in the coming months given the dynamic nature and the ongoing unusual circumstances. Difficult weather conditions in the U.S. may also impact the supply chain efficiency in some of our U. S. plants. Our near term outlook for containerboard segment is positive. This is based on a very strong continued demand in both the manufacturing and converting side and rollout of the announced price increases. The first price increase is expected to be fully implemented in the second quarter of 2021. And the second price increase will start to be implemented in Q2 and is expected to be fully in place by the end of the fourth quarter. These factors are expected to offset the impact of OCC price increase since the third quarter of 2020. We are expecting steady sequential result from specialty products segment. This reflects stable volume and higher average selling price of moulded pulp and fiber based packaging. Near term performance in European boxboard is also expected to be stable sequentially with stronger volume and stable pricing offsetting higher raw material costs. Our near term outlook for the tissue segment is less favorable on a sequential basis. This is largely a function of seasonality. Sequentially, comparison of a solid finish to 2020 as customers fill contracted annual order level and expected cost creep in raw material. We foresee demand far away-from-home products remaining under pressure, given continued business shutdown in North America while demand for the retail tissue product is expected to remain stable. Pricing improvement will support results going forward as we will benefit being realized from the ongoing restructuring and modernizations investment. Added to this, we remain focused on optimizing the production and cost structure of this business platform, the benefits of which we are beginning to see flow through results. To this end, we closed our two paper machines totaling 55,000 of capacity in Pennsylvania in early December. The current converting plant was subsequently closed at the end of January 2021. We also announced the closure of our Laval converting plant scheduled for the end of June 2021. These clothes are part of our network optimization plan and the volume is being transferred to another facility. Moving now to raw material. The recovered paper market saw increased activity in the fourth quarter. OCC generation was robot as well as demand for the fiber with solid domestic demand levels and strong export activity to South Asian country. We finished the year 2020 with good inventory levels and we have not had difficulty securing needed fiber. We expect similar OCC dynamic to persist for the coming months with domestic demand remaining robust, slightly lower seasonal generation and persistent export activity and lower shipping container availability resulting in a tighter market. Conditions for the white grades were stable, helped by lower demand in the away-from-home tissue product. Material has remained readily available and we have continued to maintain good inventory level. Looking ahead, the recent uptick in virgin pulp price will likely put an indirect upward pressure on costs. The virgin pulp market saw an unexpected and record surge in pricing at year-end. This was driven by strong and likely under estimated domestic demand, extended planned and unplanned downtime up pulp mill and rapidly growing Chinese demand. The coming months will provide greater clarity as to how much of these market dynamics are being driven by fundamental versus short term condition and speculation. Currently, our mills are supplied and will continue to be supported by our long term supplier relationships and good inventory management. Let me conclude by saying that we are pleased with our performance in Q4 and very proud to have achieved a record annual EBITDA level for the third year in a row. In addition, we reduced our leverage ratio within an unpredictable and challenging business environment. We are also very proud to have been ranked 17th in the top 100 most sustainable companies in the world, placing first in our sector in the Corporate Knights 2020 annual survey of more than 8,000 companies worldwide. This highlighted our commitment to sustainability and our belief that it will create long term value for Cascades and our stakeholders. These results highlighted the importance of growing operational and financial traction being generated by our modernization and margin improvement initiatives and strategic investments over the recent years. None of this would have been possible without our employees. Their commitment to these initiatives and their dedication and resilience during the challenging time is truly inspiring. As always, their health and safety remains our top priority and we applaud their diligence to the safety measures in place in all our facilities. With that, we will now be happy to answer your question. Operator?
Operator: [FOREIGN LANGUAGE] [Operator Instructions]. Your first question comes from the line of Hamir Patel. Your line is open.
Hamir Patel: Hi. Good morning. Mario, we have seen a fair bit of M&A in the European boxboard market in recent months at multiples a fair bit higher than where Reno trades. Has that changed how you think about potentially monetizing that business?
Mario Plourde: I would say, not really. We maintain the same approach with Europe. You probably are aware that we are participating in the M&A game in Europe as well. We just announced the acquisition o Paprinsa. And we think this will generate good synergies and revenue for the group. So, no, we have not changed our position.
Hamir Patel: Okay. Fair enough. And I was just trying to, like containerboard side and not sure if we have Charles on the line. But how much of the $60 per ton hike, assuming that's fully reflected in the trade publication, how much of that is going to be offset by some of the higher freight costs and commodity inflation that you have been seeing?
Charles Malo: So, yes, I am here. This is Charles. Just maybe one point to mention. We have announced at Cascades $60 on the liner but we are pushing a price increase further on the medium. So we are going to implement a $70 on the medium. As you know, medium is important in our portfolio and the increased cost and the margin that we are generating with the with the medium and the demands, so we are working on implementing $70. So I just wanted to mention that part. On the cost of the impact of the OCC and the other costs, as Mario mentioned, it's too early to say about the full impact on the course of the year. So right now, there's probably about $30 negative impact. But the next few months will tell us if this is going to be for the rest of the year or just in Q1.
Hamir Patel: Great. Thanks Charles. That's helpful. And could you give us an update on the off-take status at Bear Island? Have you signed a new long term agreements there yet?
Charles Malo: At this point, we don't have any firm stake. As we mentioned, there's a few initiatives that we are working on to secure or build up the volume. First of all, our converting operation are continuing to generate good growth, which is a part of the volume that we will need when we start the new paper mill. We also continuing to negotiate with us some of our current customers. So we are in discussion with them. But nothing has been signed as we speak. Our starting date is December, Q4 2022. So we are working diligently on securing some more volume for the start-up and we will keep you informed of that.
Hamir Patel: Great. Thanks Charles. That's all I have for now. I will get back in queue.
Charles Malo: Thank you.
Operator: Your next question comes from the line of Sean Steuart. Your line is open.
Sean Steuart: Thank you. Good morning. A couple of questions. First on tissue. It looks like the mix this quarter was a larger support to overall results and we expected would be the case. Can you comment to the extent that the favorable mix trends you saw in Q4 are continuing into early 2021?
Jean-David Tardif: Good morning Sean. It's Jean-David. Yes, we saw better sales on the retail side for sure at the end of the year. So that helped a lot. But we also have to mention, like Allan said, we have put a lot of emphasis on the net revenue management exercise from the margin improvement program that we have. So we worked a lot to get the right customer mix and the right portfolio with our customers. So that was mainly the factor explaining Q4 results. But we also saw that December was stronger than expected which is having a negative impact on January. So we don't see a favorable trend on that side for Q1. It's going to be pretty much stable, as Mario also said, in terms of lost sales. On the away-from-home side, we saw a slight difference from month-to-month. Again December was stronger but January and February are in line with the last few months. I would say, it's too early to see a pickup on the away-from-home side. So it should be pretty much stable.
Sean Steuart: Thanks, Jean-David, for that. Allan, the corporate costs climbed in the fourth quarter and there's reference to, I guess, the non recurring incident charge. How should we expect that to trend? Is it fair to forecast that falling back towards more standard quarterly levels into the early part of this year?
Allan Hogg: Yes, sure. So when there's an incident and it's below the amount we can claim, it's always recorded in corporate. And also there were more employees insurance claim then, let's say, in the last few months of the year compared to the previous month. But overall, yes, it should revert back to normalize, yes.
Sean Steuart: Okay. And then one last one for me, Allan. Can you go through the company's NOL position in Canada and the U. S.? I am just trying to get a sense of your ability to shield cash taxes going forward?
Allan Hogg: Yes, exactly. With the stronger performance over the last few years, certainly we have utilize some of these NOLs. At current level, we expect to be good for the next two to three years. But certainly that if we continue to improve, it will offset more rapidly, these NOLs. But we still have a few years in front of us.
Sean Steuart: Okay. That's all I had. Thank you very much.
Operator: Your next question comes from the line of Mark Wilde. Your line is open.
Mark Wilde: Good morning Mario. Good morning Allan. And congratulations on both a good quarter and doing what you said you would do on the balance sheet. A couple of questions for me. First of all, any initial read on the impact of these storms and power issues in the Southern U.S. kind of across your portfolio?
Mario Plourde: Not so far. Charles, you are probably the one or Jean-David, you are probably the one that have been the most affected. But high level right now, I would say, no impact right now. But Charles, maybe you want to add something or Jean-David, because at my level I haven't seen any huge impact.
Charles Malo: Well, maybe just I can start. Jean-David, I will let you speak after. For us, we don't have operation on the containerboard on that side. On the supply, it's so tight right now that our customers continue to request to receive material. So there were some delays but no major impact. Where we were at a bit more concerned at one point was because we will make some trades on the kraft linerboard side. And as we speak, the impact would be minimal. So we don't see any major impact as we speak. Mark.
Mark Wilde: Okay. And anything on tissue?
Jean-David Tardif: Yes. On our side, the Oklahoma side that was affected. So machines are still down. So we will loss probably 2,000 tons, I will say, about 10 days of production. And the converting site, because of employees not being able to travel, et cetera. So it's probably 400,000 cases that we are going to lose. But overall, it's not net loss because we are moving product around. So we are bringing jumbo rolls from other sites or we are moving cases from other sites. So, that's huge but it's not material. But it's still an impact there from freight cost and other costs.
Mark Wilde: Okay. And Mario, kind of looking through kind of 2021 and maybe even into 2022, any thoughts on just sort of further portfolio moves?.
Mario Plourde: Well, right now we are really focused on finalizing what we have started. As you know, we have launched the Bear Island project which is a substantial project for us and it's started now. We have all the approvals, commitment. We are negotiating with different supplier and contractor. So a lot of our focus will be dedicated to that. At the same time, as you know noticed, we have made many changes in restructuring tissue and investing in many different plant moving tons around. Now we need to ramp-up these and capture the synergy and the benefit of those investments. So this year, most of our focus will be to finalize these investment in tissue and ramping up and focusing on Bear Island.
Mark Wilde: Okay. And then just broadly kind of also looking ahead a little bit, I am just curious, historically you have been very focused on the use of recycled fibers and particularly in tissue but maybe in containerboard as well. Any thoughts, just given what's going on in the market about perhaps toggling over toward virgin fiber in either of those businesses?
Mario Plourde: We are more focused doing so in our tissue segment because the portfolio of product we have in tissue allows us to use more virgin fiber. As for containerboard, we still remain really focus being on recycled grades. It's our forte and this is our focus. So right now, no, we are not looking at that any virgin move on the containerboard side. But the market is moving in terms of tissue quality demands. And so we are using more virgin fiber in tissue, as we speak.
Mark Wilde: Okay. So I guess the last one. We have had, in the last several weeks, companies in this sector hit by cyber attacks on both sides of the border. And I wonder, perhaps Allan, can you just talk about the things that you have done at Cascades to defend yourselves from these type of attacks?
Allan Hogg: Yes. Well, we have been at it for a few years now. We have a dedicated team that is in charge of monitoring this. Obviously the recent events had us maybe accelerate or maybe push on new things to do or to be more rigorous and so on. But I think we are pretty well served, organized. We can obviously continue to improve to reduce the risk. But the key is to, if it ever happens, is that that we can run our operation on a manual mode and this is maybe something that we must be really ready if it happens. So that's the key for us that we see right now within the group.
Mark Wilde: Okay. I will turn it over. Thanks guys.
Mario Plourde: Thank you.
Operator: Your next question comes from the line of Zachary Evershed. Your line is open.
Zachary Evershed: Good morning everyone. Congrats on a great quarter.
Mario Plourde: Thank you.
Zachary Evershed: I was hoping you could give us some more color on the continued margin improvement initiatives and what represents the biggest opportunity in 2021?
Mario Plourde: Well, you saw the five pillars. You must understand that after all these years of implementing a CP and redesigning our business processes, it was time now to really get the most out of all of these new platforms. So I would say that for the first year of the program, net revenue management was something that was really a strong contributor to this exercise. But all of these, the five pillars have different objective or themes that we are looking at. But to answer your question more precisely, first it net revenue management.
Zachary Evershed: Thank you. That's helpful. And in terms of the away-from-home trends that you are seeing in tissue, you mentioned quality improvements across the market demand. What are you hearing from customers as they look to maybe restock at the restaurant hotel level?
Jean-David Tardif: Right now, I think it's still too early. Their inventory is on the high side, from our perspectives and their focus is much more on other products than on paper. So we haven't seen much of an increase for a pickup at this moment. But e-commerce is doing really good. So more and more, we are partnering with distributors on that channel. So I think is something we underestimated over the last few years. But this definitely growing on that side of the market. But sorry, no, too early to say.
Zachary Evershed: Got you. Thanks. Last one for me. A little bit more far-reaching and speculative. But with the shakeup in supply and demand that we saw due to COVID-19 and China's import ban, where do you foresee recycled fiber prices stabilizing over the medium term?
Luc Langevin: Zachary, this is Luc Langevin. I will answer your question. For the moment, we are in a typical low generation season. On top of that, in Canada recently there's been confinement in both Quebec and Ontario which are important locations for us for fiber generation. And despite these conditions, we have a regular supply at this moment. We observe, as the rest of the market, some stronger pricing from export. But besides the stronger pricing, there's limited volume considering the difficulty of bookings of containers. So it has not such a huge impact on the domestic market. In the future months, we are going to get back to higher generation. And I would say now the market is still tight at this period of the year like it is normally in February and we expect that the situation is going to become a little bit more favorable for buyers likely in April and May, like it normally do. But our inventories are good and we have regular supply at this moment.
Zachary Evershed: Thank you very much. I will turn it over.
Operator: [Operator Instructions]. Your next question comes from the line of Paul Quinn. Your line is open.
Paul Quinn: Yes. Thanks very much. Solid Q4 results. I guess I will start in containerboard. Just trying to understand what you have announced in terms of the price hike for November and as well as for March?
Charles Malo: Paul, this is Charles. So what we have announced in November, which we said will be implemented, fully implemented by Q2. So we did announce a $50 a price increase on the containerboard. And for the second price increase, which is effective March 1, we have announced $60 on the linerboard and $70 on the medium. And this, the full impact we can consider that it's going to be implemented by Q4.
Paul Quinn: Okay. That's great to clarify. And then maybe just trying to understand the margin improvement in the baseline for 2019 that's supposed to be a 1% marked improvement. Basically you have got that percent. Is it off your EBITDA in 2019 as a base?
Allan Hogg: Well, the program, every metrics that we have in the program is based on cost or KPIs based on 2019. So when we will continue this year and next year, we will always measure this compared to our 2019 basis to make sure that we capture the objectives that were set at the beginning. So it will flow through results, net of related recurring costs that we will incur, it will be netted against that. So the objective, yes, it remains to approximately 1% per year. That's how we set the objective at the beginning.
Paul Quinn: Okay. So maybe I worded that poorly. But that $75 million that you achieved, did that get the 1% off the baseline?
Allan Hogg: Yes. And more so, it's part of the $71 million improvement in EBITDA but in the pillars there are some that are going through cuts and some are going to the topline. So it's all through the P&L. But at the end of the day, yes, it's contributing to EBITDA and helping us to face headwinds that we have for market conditions.
Paul Quinn: Okay. Then just on that CapEx spend. The net $200 million to $225 million that you are going to spend outside of Bear Island, what portion of that is maintenance, what portion is strategic? And any important strategic programs in there?
Allan Hogg: The maintenance is still around $75 million per year. All of the other assets and the rest of the envelope is split quite equally between the three groups except the Bear Island project which is bigger in level.
Paul Quinn: Great. That's all I had. Best of luck. Thanks.
Mario Plourde: Thank you.
Allan Hogg: Thank you Paul.
Operator: Your next question comes from the line of Mark Wilde. Your line is open.
Mark Wilde: Thanks. I wondered, Charles, since we are kind of flying blind here with this change in FBA reporting, can you give us some sense of what you are seeing in box volumes through the end of February? There have been some talk in the trade press about maybe volume being a little slower growth. And I just wondered what you are seeing in the market through the first two months of the year?
Charles Malo: Yes. The comments right now, what we are seeing, I am going to speak for Cascades because.
Mark Wilde: Yes. It's all we want.
Charles Malo: Yes. And as you know, we are very present in Canada but also in the Northeast, Mid and Southeast of United States. So maybe my comments are going to be more related to that. So we are seeing that beginning of the year at Q1 was still very strong. The February or mid-month, as you know, it's a smaller or shorter month. But still the per day, when we look at our demand and our output, we consider, is very strong I think we have to be careful also the Q3, Q4 was so strong that just a bit lower demand for a few weeks and people are starting to say that it may be a slowdown. We don't see this at all. So we consider that we are going to see a very strong Q1 in the markets where we are still. And that's what we see at this point.
Mark Wilde: Okay. All right. That's helpful. And is it also possible, over on the tissue side, to just recap for us what kind of a price moves might be out in the market right now?
Jean-David Tardif: Again, I think it's early to say. For sure we are seeing a major hike on virgin pulp price here this week. And so the forecast are for higher pricing short term. So we will see how the market evolves. Right now, there's nothing announced officially. But as I said earlier, we are working hard on the portfolio and the customer mix to get advantage of it. But on, we haven't heard anything or we haven't seen anything on sheet count adjustment or pricing announcement.
Mark Wilde: And given the fact that most of the big players on the consumer side are non-integrated, how long would you typically expect they can afford to wait before they try to pass on these higher costs? Do you have any sense of that? I mean do they have three months, six months protection on their fiber cost such that they can wait a little while and see if this thing is sustained? Or do they need to move fairly quickly in order to protect their margins?
Jean-David Tardif: That's a good question. It's usually too long. But we haven't seen any price increase in retail U.S. for quite some time. So we got one about two years ago, maybe a little bit more. And we have then many, many years before that. So I think we may see sheet count adjustment on the product to compensate.
Mark Wilde: Okay.
Mario Plourde: Mark, if I may add, Mark, it's Mark speaking. It really depends on the speed of the increase in pulp. You know, right now, what we see is a rapid increase. It's tough to tolerate such increasing costs in our business. So if it keeps on going at that speed, obviously I think people might react. That's no doubt.
Mark Wilde: It would seem like it, Mario. I mean I think we have all been kind of caught off-guard by the speed of this tightening and then the fact that it seems to be kind of continuing late in the first quarter there. I will turn it over.
Mario Plourde: That's right. Thank you.
Operator: Thank you. There are no further questions at this time. Mr. Plourde, please continue.
Mario Plourde: Thank you everyone for being on the call this morning and we are looking forward to talk to you for our Q1 results. Have a good day everyone, be safe. Thank you
Allan Hogg: Thank you.
Mario Plourde:
Operator: [FOREIGN LANGUAGE] Thank you. Ladies and gentlemen, this concludes today's conference call. You may now disconnect.